Operator: Greetings and welcome to the Y-mAbs Full Year 2019 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a remainder this conference is being recorded. It is now my pleasure to introduce your host Thomas Gad, Chairman and President. Please go ahead.
Thomas Gad: Thank you, Ashley. Good afternoon everyone and thank you for joining us on this particular day. So 2019 was the year that we believe we made significant progress on our strategy and took steps that position us very well for 2020 as we work to complete two BLA submissions, and prepare for to potential product launches, while significantly expanding our clinical activities. We ended 2019 with 207 million in cash. And as you know, in late October, we completed a secondary offering led by Morgan Stanley, JP Morgan and BofA, in which we raised approximately net proceeds of 135 million to the company. These proceeds further strengthened our balance sheet for the potential launch of both naxitamab and omburtamab later this year, while at the same time advancing our pipeline and should carry us through to the end of 2022. And that's without taking into consideration any product sales or any potential partnership revenue. So we are very pleased with our financial position as it is today. Naxitamab and omburtamab have both previously received rare pediatric disease designations from the FDA. And in December, our vaccine was granted rare pediatric disease designation as well. So that paves the way for potential third priority review voucher. Naxitamab and omburtamab continued to read out encouraging data, addressing clear unmet medical needs for neuroblastoma patients. And we have now shown that we are able to reproduce these results in multicenter trials. Today naxitamab and omburtamab are treating children worldwide in clinical trials including the US, Canada, Europe and Hong Kong. And we believe this global outreach is a major achievement for Y-mAbs. We spent approximately 75 million on operations in '19. And we think our spending is a direct result of our highly dedicated teams who are very committed to making both naxitamab and omburtamab available to children everywhere. We are working hard on expanding our ongoing clinical activities for both these antibodies addressing osteosarcoma and DIPG, where clear unmet medical needs exist for pediatric patients. We're also working hard on opening up a global trial for vaccine here in 2020, as an add on to naxitamab in order to provide access to children worldwide. Going beyond naxitamab and omburtamab, we are advancing our two plus one bivalent low affinity CD3 bispecific platform, which we are very excited about. Our first bivalent GD2 CD3 product is currently in dose escalation in Phase I single centre clinical trial at MSK. It'll be very interesting to see data from this study potentially validating our platform and expand into larger indications with future partners. We're also working hard on our second bivalent – bispecific, which we have announced the CD33 CD3, focusing on potentially filing an IND this year and focusing on AML, again another unmet need for children. As announced, we filed an IND for omburtamab conjugated with lutetium late last year in order to get our next generational omburtamab into the clinic. Here we are working on a two part strategy opening up multicenter trials; one from the neuroblastoma pediatric patients that face with a clear unmet medical need and a second trial for the B7-H3 primary tumors that metastasizes to the brain. Taking all our achievements into consideration, we believe Y-mAbs is very well positioned and we are very excited to bring the company forward in 2020. And as a company we will always continue to stay true to work hard to position us as a leader in pediatric oncology addressing clear unmet medical needs and focus on advancing our therapies to reach the lives of children living with these rare cancers. And with that, I'm very pleased to introduce to you Dr. Claus Moller, our CEO. Thank you
Claus Moller: Thank you, Thomas and welcome to Y-mAbs Therapeutics 2019 earnings call. We're pleased that you've chosen to join us today and during the fourth quarter, we have continued to work hard to ensure that our lead product candidates naxitamab and omburtamab advanced to the completion of their respective BLA submissions. We submitted the first portion of the rolling BLA from naxitamab in November 2019 and we expected submission to be completed within the next couple of weeks. For omburtamab we recently had a pre-BLA meeting with the FDA, and we were very pleased to have our plans confirmed by the agency. We expect to complete our rolling omburtamab BLA submission in May, meaning that our projected overall commercialization timelines are unchanged. We will continue to keep you posted on our progress. We believe that we have continued to demonstrate our ability to execute on our commercialization plans through the first quarter of the year – this year. With the coronavirus being on everyone's mind these days, I want to stress that the company has taken what we deemed to be all necessary precautions to minimize the contamination risk at our facilities. This includes all sites in the US and we believe that our contingency plan will enable us to ensure submission of naxitamab and omburtamab BLA in line with the timelines I just mentioned. Let me turn to naxitamab, in addition to the rolling BLA for naxitamab in relapsed/refractory in osteosarcoma, we have some exciting news in frontline osteosarcoma. At our R&D day in December Dr. Mora from Barcelona's Children's Hospital, who has significant experience treating frontline neuroblastoma patients with both naxitamab and also a competing anti-GD2 antibody dinutuximab, presented clinical data from both antibodies. This is the first ever naxitamab frontline data presented. Data from this investigator sponsored naxitamab study had 34 patients with high-risk stage four neuroblastoma in first complete remission, showed a 72% event free survival rate at 24 months. This compared favorably with the published data of 63% 24 months event free survivable in 89 patients treating with dinutuximab antibody. The naxitamab treatment appeared to be well tolerated in the frontline study, and the infusion related pain generally associated with anti-GD2 antibody required significantly less opioids for naxitamab than the competing anti-GD2 antibody used by Dr. Mora. The use of morphica generally declined significantly after the first treatment cycle. And Dr. Mora's finding was that naxitamab only required less than 20% of the morphine dose required by the competing anti-GD2 antibody. A second frontline study with naxitamab is currently ongoing at MSK in New York City, and we expect data from this study to be published later this year. We're also planning a multicenter frontline study, which we expect to start later this year. At the International Society of Pediatric Oncology or the SIOP Conference last October in France, a total of six presentations by MSK provided substantial exposure to naxitamab encouraging clinical data. Among the highlights was data from primary refractory high-risk neuroblastoma patients in Study 12-230. These patients are refractory to intensive induction therapy and in addition, more than half the patients were also refractory to second line chemotherapy. In this subset of patients, we demonstrated a better than expected outcome including a 78% overall response rate. In another subset analysis, 35 patients with relapsed neruroblastoma who were resistant to salvage chemotherapy, 30 patients were valuable and also these patients, we saw one third of the patients had two or more prior relapses and 89% have previously received the GD2 antibody before they came on naxitamab. These patients coming on to next naxitamab had a 37% overall response rate and a 36% progression free survival rate at two years or 24 months, which indicates the clinical benefit in this difficult to treat population. We also presented data from high-risk neuroblastoma patients in second or later complete remission. 44 patients with no evidence of disease were treated with GM-CSF and naxitamab as maintenance therapy to keep them in remission. In this population 88% of the patient had previously received anti-GD2 therapy and 30% had received two or more lines of anti-GD2 therapy before receiving naxitamab. A two-year progression-free survival rate of 52% was observed. We believe these data are very encouraging since these patients are known to have short lasting responses with one-year progression-free survival of typically about 20%. We also have data for patients with disease restricted to the bone marrow compartment which will be very interesting as investigators assess 100% clearing of the bone marrow in this patient population. I don't believe that has ever been seen before in any neuroblastoma trial. Now, let me turn to omburtamab, our second lead compound. Omburtamab is a regulated Iodine-131 antibody and as previously disclosed we are developing this compound for CNS/leptomeningeal metastases for neuroblastoma, but also for diffuse intrinsic pontine glioma known as DIPG and desmoplastic small round cell tumors also known as DSRCT. All of these tumors aim B7-H3 positive. In February, we had a pre-BLA meeting with the FDA, confirmed our plans for filing BLA for omburtamab. We plan a rolling submission which we expect to compute in May. Completing submission for the BLA for naxitamab in late March and omburtamab shortly thereafter reflect an outstanding performance of our team, and we hope to see those compounds approved by the FDA before the end of the year. In December, EMA agreed to our proposed Pediatric Investigational Plan for omburtamab. As a part of the regulatory European process for registration of new medicines, companies are required to provide a PIP outlining their strategy for investigation of new products in pediatric populations. An approved PIP is prerequisite for filing a marketing authorization application for any new product in Europe. We believe that now is a clear path of registration of omburtamab for the treatment of pediatric patients with CNS/leptomeningeal metastases from omburtamab in Europe, and we plan to submit a marketing authorization application in the fourth quarter of this year. This is a vital step forward in our efforts to bring omburtamab to the European market. And it demonstrates the close and constructive interactions that we manage to establish with the European regulatory authorities. Now, turning to the data generated with omburtamab, in November last year, the desmoplastic small round cell tumor data was presented at the 2019 Connective Tissue Oncology Society or CTOS annual meeting in Tokyo, Japan. DSRCT is a malignancy that typically presents as intraabdominal sarcomatosis in young males. Less than 100 patients are diagnosed each year in the US, and patients with DSRCT have very poor prognosis with limited five year survival. So there's a clear unmet medical need in this population. Even the more fortunate DSRCT patient where it's possible to do gross total resection the five year survival appears to be approximately 20%. And based on observations from MSK whole abdominalpelvic intensity-modulated radiotherapy may be advisable for those patients whose tumor can be resected. The data reported by Dr. Modak at CTOS was based on evaluation of 33 patients at MSK. A total of 24 patients from a Phase I study who received the radiation to the abdomen and in combination with interperitoneal administrated omburtamab with iodine and nine patients who just started the treatment with the abdominal radiation after total tumor resection, but no omburtamab. The study showed that a 41 months median overall survival for those who did not receive omburtamab and 59 months for those who received omburtamab. So the data presented at CTOS showed that adding iodinated omburtamab to standard radio therapy was low tolerated and indicated in our opinion, improved survival. Furthermore, adding omburtamab to the resection improved the five year Kaplan Meier estimated overall survival from the historically reported rate of approximately 20% to approximately 40%. So we're very pleased to see these survival data. Lack of evaluable disease means that survival is the only relevant endpoint in these patients. While this approach may not help patients who do not achieve cross tumor resection, we believe that it may help patients with microscopic diseases, which is exactly where this antibody has its strengths. We believe that the data illustrate the width of compartmental use of regulated omburtamab, which could potentially be applied to other peritoneal or compartmental malignancy. We recently initiated a Phase II trial in DSRCT at MSK and we are planning to open this study for a small exploratory group of both gastric cancer patients and also ovarian cancer patients. At SIOP we presented and updated omburtamab data readout from Study 03-133 at MSK where patients with CNS/leptomeningeal metastases from neuroblastoma received two doses of radiolabeled omburtamab. Data showed that for the 107 evaluable patients, the median survival had increased to 50.8 months, with the final median not yet reached. This compared to the previously reported 47.1 months when we had 93 patients in the study. So we're pleased with this update. Remember, the historical median survival for these patients is approximately six months. In addition, we had 68 patients diagnosed with other CNS cancers including metastatic tumors, who had received a total of 201 injections from omburtamab. Injections were routinely administrated primarily in outpatient settings and the patient's primary CNS diagnosis included eight different cancers, including 27 patients with medulloblastoma, nine patients with ependymoma, patients with metastatic tumors included for different primary cancers, including nine patients with sarcoma, and five with melanoma. As of today, 26 of these 68 patients with these highly lethal diagnosis are still alive. These results fueled our patents from lutetium labeled omburtamab construct for which we have filed an IND in December. The first study will be in medulloblastoma that we had previously experienced from 27 patients with the iodinated construct. And in addition, we plan to submit a separate IND for our basket trial of the B7-H3 positive CNS/leptomeningeal cancers in adults, delivered from our experience of treating the more than 25 adults with the iodinated omburtamab. We expect to treat the first adults with the lutetium labeled constructs in the second half of 2020. And we're keen on the trails to widen our aim to include adults in these indications. To support our growth plan we increased our headcounts by approximately 16% to a total of 65 employees during the fourth quarter. The increase is primarily due to the development team and the commercial team ramping up for the potential launch of naxitamab and omburtamab. We continue to believe that we are well positioned to move both naxitamab and omburtamab to the FDA approval and commercialization in 2020, and concurrently increase our focus to our earlier stage pipeline candidate, including as I mentioned, the lutetium labeled omburtamab-DTPA construct, the bispecific programs and the GD2-GD3 vaccine, as well as the next in line indications for naxitamab and omburtamab. Now, let me invite Bo to share his remarks on the full year 2019 financial results. Bo?
Bo Kruse: Thank you, Claus. We reported a net loss for the year ended December 31, 2019 of $81 million or $2.3 per share, basic and diluted compared to a net loss of 43.3 million or $1.5 per share basic and diluted for the year into December 31, 2018. We ended 2019 the cash position of 207 million compared to the third quarter's ending cash position of $98 million. The increase of 109 million was primarily due to the net proceeds from our secondary offering of roughly $135 million net in November 2019 offset our fourth quarter expenditures. As our work on the BLA submissions from naxitamab and omburtamab progresses and we accelerate the commercial ramp up for the potential launch of the two lead compounds, we've seen our cash burn increase and we expect the cash burn from operating expenses for 2020 to remain roughly in line with the first quarter of 2019. Research and development expenses increased by 29 million from 34 million for the 12 months ended December 31, 2018 to 64 billion for the 12 months ended December 31, 2019. This increase was primarily attributable to $17 million increase in outsource manufacturing for our two leads product candidates naxitamab and omburtamab, a $5 million increase in outsourced research and supplies to support expanding development activities, $3 million increase in personnel costs and a $2.5 million increase in clinical trial expenses. G&A expenses increased by 10.5 million from 9 million for the year ended December 31, 2018 to 19.5 million for the year ended December 31, 2019. The increase in G&A expenses primarily reflect upon from $1 million increase in personnel costs, a $2.8 million expense for the ramp up of our commercial infrastructure related to potential launch of omburtamab and naxitamab. Cash flows from operating activities show that the cash burn increased by 32 million from 41 million for the year ended December 31, 2018 to 74 million for the year ended December 31, 2019. The increase was primarily caused by the increase in the net loss for the year. The net loss itself increased by $37.8 million for the year ended December 31, 2019 and was partially offset by $5.5 million increase in accounts payable and accrued liabilities, which saw a leap on increased operations and an increase in non-cash expenses, including stock based compensation of 2.7 million. In addition, cash spending from investing activities increased by 1.7 million to 2 million in 2019 due to purchase of the equipment primarily for the lab in New Jersey in 2019. The net proceeds from the issuance of common stock increased by 36 million from 99 million in 2018 where we went public to 135 million related to our follow on secondary offering that closed in the first quarter of 2019. In terms of financial guidance, we said since the secondary offering that the cash on hand plus the net proceeds from the offering would cover our operating activities and capital expenditures through the fourth quarter of 2022. And this still does not take into account any potential revenues from commercialization of naxitamab and omburtamab and all proceeds from any potential future partnerships. So we do believe Y-mAbs remains in a very healthy financial position. This concludes the financial update, and I'll now turn the call over to Thomas.
Thomas Gad: Thank you, Bo. I think we'll now take some questions.
Operator: Certainly, we will now be conducting a question-and-answer session. [Operator Instructions] The first question is from Alec Stranahan of Bank of America. Please go ahead.
Alec Stranahan: Hey, guys. Thanks for taking my questions. Congrats on the completed '19 and the pre-BLA meeting for omburtamab. So just on that first, could you give us a sense of the additional studies, if any, that needs to be done for the rolling BLA for omburtamab? And now with a clear picture of BLA submission timelines, following your interactions with the FDA, do you think it's still reasonable to assume commercial launch by the end of the year? And then I've got a follow up.
Claus Moller: Okay, thanks Alex. This is Claus. Yeah, I mean, just to be clear, for omburtamab the FDA is not requiring any additional studies for the approval. What they are requiring is that the multicenter study we opened as a requirement from the FDA and where we have about 18 patients or so and actually, we have almost 30 patients in the study now. The first cohort of patients will be supporting the BLA that will be completed in May. The FDA is giving us what they call an accelerated approval, which means that there will be a post marketing commitment. And the post marketing commitment is not requiring any additional study, it requires that the patients in the study one-on-one where the first cohort of patients is a part of the first approval should be followed for three years and we have to come up with three year oral survival data that is significantly better than historical data, which is estimated to be about 10%. So the number of patients that need to be for the three year follow up is about 32 patients. And I think we are pretty close to having those ready to face in the study and already now we have 28 or 29 patients. So we're pretty close to that. And as I said, it's not a requirement for the actual filing. We have all the information we need for the filing. And we are getting ready to submit everything before the end of May. In terms of launch time, yes, we still believe that we can do that. For naxitamab, we expect to complete the rolling BLA before the end of this month, which means we will have a PDUFA date most likely in November and we're ready to launch as soon as we get the approval from the FDA. We filed the omburtamab BLA in May and we should get a PDUFA date most likely in January 2021. How can we then believe there's the chance to launch this year? Well, typically the FDA for these kinds of BLAs that addresses small life threatening diseases, they typically approve products one or two months early. So definitely for naxitamab, potentially if the FDA use their standard time, minus the typical one to two months early approval, we could also have seen omburtamab on the US market this year. Did that answer your questions?
Alec Stranahan: Yes, that's very helpful. Thanks. And one more from me, so assuming naxitamab gets approved in relapsed refractory neuroblastoma by the end of this year. Have you gotten a sense from the FDA, what the expected regulatory in frontline neuroblastoma would be? How do you think the timing of the MSK study readout might influence multicenter studies on? Thanks.
Claus Moller: First of all, we don't have a discussion. We haven't had a discussion with the agency about the front line. And I simply decided not to start discussing that until we get the approval and second line. We will have data from two individuals in different studies already this year. And we will be doing a multicenter study starting this year. And I think it's highly likely that the data will be out there. And I think we can see at least at some sites that appear interested in using naxitamab in front line. Whether that will happen after the approval, I cannot give any guarantees and we will work towards a form of regulatory approval to make sure that it's truly endorsed also in frontline.
Alec Stranahan: Great, thank you.
Operator: The next question is from Etzer Darout of Guggenheim. Please go ahead.
Etzer Darout: Great. Thank you for taking my question and congrats on the progress, just a couple of questions, I guess. One, maybe on sort of the data disclosures for 2020 given some of the disruption that we're seeing and what your thoughts are around sort of maybe the venue or whether or not sort of changed the venue by which you dispose the data and then maybe on the sort of the global trials for the vaccine and maybe if you can sort of talk about what that pivotal trial could look like, as far as design? Thank you.
Claus Moller: Well, in terms of venue, I mean, I think we are all a little bit out in the woods right now, what kind of happened to various communities? I think for sure, very few larger meetings going to happen in April this year. The meeting in May that we are planning to use as presentation for a number of our datasets, when we submit the abstracts at the ANR in Amsterdam, let's wait until we have the data and of course, we'll make an effort to make sure we get data out as quickly as possible. So everybody's enlightened about what we have. I'm not completely sure. What was the other part of your question?
Etzer Darout: So yeah, around sort of the trial for – the global trial that you spoke about for vaccine and what that trial could look like.
Claus Moller: Yeah. Well, I mean, I think what we're doing is that we're following here. We have a lot of data in second remission patients. These are patients that have been in remission in front line then they relapse and become second line patients. And we can put them back into remission with a combination of initially of chemotherapy and naxitamab and naxitamab alone. And so they are in second remission or later, and then we start vaccinating them. These patients have a tremendously poor prognosis. The numbers that we disclosed is a 20% one-year progression-free survival and a four-year 5% less than 5% progression-free survival. So if we can do anything to keep these patients at bay, to prevent them from reverting, which is what the vaccine seems to be able to do with a two-year 50% progression-free survival in those that are on second or late remission, then we are doing something. So I think for the second line setting of the vaccination, we would go to the FDA and propose an uncontrolled, fast track, accelerated type of approval, with a first line commitment potentially in a randomized front line study. So we take patients in front line, and as you're also completing the data, just disclose that about 40% of the patients will relapse within two to three years typically in frontline, we may get that up to 30% in naxitamab, but that's the ballpark you're talking about. A number of patients and some time it's also relapse and with dramatically decreases hypnosis for these patients. So you could imagine that we could try to discuss with the agency study where we do a – get an approval in an uncontrolled setting in second line and then go for a post marketing commitment to do randomized frontline setting stud. But this is speculative as we are right now. And they need to have a dialogue with the agency. And to be honest, we're working hard on getting the first BLA filed. And we'll take the dialogue with the agency after we have gotten the approval for naxitamab and see what we can agree on. But I think those are kind of like the strategies that we are working along.
Etzer Darout: Good. Thank you.
Operator: The next question is from Robert Burns of H. C. Wainwright. Please go ahead.
Robert Burns: Hi, guys, thanks for taking my questions and congrats on all the progress you guys have made. So three questions from me if I may, first one for the naxitamab filing in Europe, could you provide an update as to when you believe you'll be able to file the MMA and what the timeline would look like around the review period in Europe. That's my first one.
Claus Moller: Okay, so naxitamab filing in Europe, we haven't given any final guidance. What we're saying is that we're discussing to get the PIP in place and we have the PIP in place with EMA, we can give a more precise guidance. I would consider it unlikely that we will be able to file in Europe until probably the beginning of '22, maybe late '21, but definitely not this year. And I guess we need to do another study in Europe, the regulatory situation is a little different. The standard approval time in the EU is 270 days from the filing and then there can be some stuffs in between.
Robert Burns: Okay, great. Thank you. My second question, so switching back to the front line setting, how long do you estimate that the multicenter trial that you're initiating this year will take to read out? And are you considering incorporating naxitamab into the induction portion of that treatment similar to the Ferman and colleagues’ paper that came out at the end of 2019?
Claus Moller: It's still uncertain what it actually does to add GD2 antibody in the induction setting. So we are not planning to do that. We're planning to use a setting where we put the naxitamab as maintenance of sustainable induction therapy, whether the patient have bone marrow transplant or not. We're not recommending a bone marrow transplant for these patients. We think it's an unnecessary facility. And 80% of the patients in Dr. Mora's studies presented in frontline that had not received bone marrow transplantation and nevertheless, because if anything, at least as good and probably better progression-free survival data than you do when you get bone morrow transplantation. So what do we expect in terms of front line data needed for a potential regulatory approval? I don't know for sure whether the FDA would be satisfied with two single center studies and an ongoing multicenter study, but I would think that would be sufficient. But we can't say anything until we've had a regulatory dialogue with the agency about this. But that would be hard – that it would be hard for me to see that they would not at least be willing to look, I would say objectively on whatever data is available we have. Its data driven, honestly, it's so data driven. It's an enigma. I mean, I don't think anybody's going to ask you about the efficacy. Everybody will know that, hey, we can take groups of patients as I just disclosed in my presentation, or 88% of the patients already received one or two other GD2 antibodies, and we have progressed and then we give them naxitamab and we put a large group of them into remission. This antibody is working very, very well. So the key thing will be safety. Is this antibody is safer than giving dinutuximab IL-2. I mean, you can look up the Black Box earning result. I think safety is driving this. I think more than – I think the efficacy discussion is kind of like older than done. There's a new paper that came out recently that gave a combination of a humanized than naxitamab and IL-2 published data. And they gave it to patients that have only disease in the bone marrow certified patients. And they get a 16% response rate. I just told you we get 100% response rate in bone marrow patients, diseases only in the bone morrow. Efficiency is not an issue anymore. The safety issue and I think the safety data presented by Dr. Mora was pretty clear.
Robert Burns: Yeah. No, I agree with you there. And then the last question.
Claus Moller: Good.
Robert Burns: No, it's all good Claus. And then the last question for me is, so can you frame how you're thinking about the GD2 bispecific data that is supposed to be released in 2Q '20, from an efficacy and relative benchmark perspective.
Claus Moller: Look I haven't seen the data yet. So the one thing I can say is that we throw that – we're sitting here a year after we started this dose escalation study and we haven't had any, you can say events that gave us a tentacle, which is unusual for a bispecific antibody. We have to wait and see the data when we get them. But it's definitely – I'm very excited about this program. And we're going to need to get higher from the dose; it looks like we can get higher, so time will show. So it's still – we have to wait. So it's not kind of like we can dose escalate every second week. But we have managed to dose escalate a number of times now. So we are in a pretty decent service. So then how it pans out, but hopefully the ANR meeting will happen. And we'll get the abstract to talk.
Robert Burns: Awesome, well, I look forward to that. I'm very intrigued by it. Thank you so much Claus.
Claus Moller: Thanks. Thanks a lot.
Operator: The next question is from Anupam Rama of JP Morgan. Please go ahead.
Tessa Romero: Hey guys. This is Tessa on the call tonight for Anupam. Thank you for taking our questions here. First one in the pipeline, for the phase II relapsed second line osteosarcoma study, we have seen safety data, I think for this study. Can you remind us of timelines for the efficacy update? And is there a specific medical conference you're targeting? And then I have a follow up. Thanks.
Claus Moller: Sure, I mean, this study is supposed to recruit 39 patients, and as soon as all 39 patients are in this study, we will find a suitable conference. I still cross my fingers and hope that we can present the data before the end of the year, but there's no guarantees in clinical trial. So let's cross our fingers and hope we get data from this study before the end of the year.
Tessa Romero: Okay, that's helpful. That's helpful. Yeah, thank you and then maybe a commercial one as well. So given potential approval this year or later this year, key potential approvals, how are you thinking about initial sales infrastructure. Thanks.
Claus Moller: We have an NSL team in place already. We started putting together the NSL team about eight, nine months ago. And we will have an NSL team operating under the medical group and the company and they'll have quite a separate sales team, which most likely will consistent somewhere between five and 10 sales reps and some regional sales heads and stuff, but the whole commercial organization including the back office supports, the marketing, the co-pays, marketing reviews and all the other functions you put together. I think we're looking at a group of about 30 people.
Tessa Romero: Okay, great. Thank you for taking our questions.
Claus Moller: Sure, thanks.
Operator: The next question is from Boris Peaker of Cowen and Company. Please go ahead.
Boris Peaker: Great. Thanks for taking my questions. The first one is on naxitamab. We talked a bit about the front line strategy here. I'm just curious if approved in a front line, how much more use do you anticipate you would have with the front line label versus just a second line label? Would you have retreatment of patients or just kind of want to understand your estimated drug use in that setting?
Claus Moller: Yeah, I think in front line setting, the patients are getting naxitamab or would be getting naxitamab and are getting dinutuximab as a maintenance treatment and so there's no disease that you're actually – can see your treating, you can only see the effect of the antibody by the increased progression-free survival. Would you then – if you are treated in naxitamab in front line, we use naxitamab in second line definitely, absolutely. I see absolutely no reason. And we also know from experience at MSK that patients that have been treated in front line that have relapse can respond to naxitamab in second line. So I think the front line would not cannibalize any of the second liners.
Boris Peaker: Got you, okay. That's good to know. So maybe – just maybe a slightly broader question, for both naxitamab and omburtamab, obviously, you have extensive pipeline of various studies ongoing, so beyond the lead indications for both of these drugs, which we talked about, what are – what's the timeline for the next BLA filing for – or label expansion BLA filing for each drug.
Claus Moller: Well, I think naxitamab in front line depending on what we can agree on with the FDA, I think naxitamab for front line could be in the end of next year. And in terms of additional indications, I think it's a little early to say whether we need to see the ousters accommodated before we start discussing what is needed for potential DNA, but front line setting, the other indication I also reported a little bit about the data is for those patients that that come into remission in second or later line. For instance, by induction chemotherapy, we have treated them with maintenance therapy and prevented them from doing that thing. So there's a number of potential indicates so that that is NAD patients are going to see. So I think that indication we tend to put off a bit now. For omburtamab, I think the first expansion indications could be the DIPG and the desmoplastic small round cell tumors. As soon as we get the approval in place for the agency – we're starting a multicenter DIPG study later this year, and we need to go and talk to the FDA. And then we're looking at a group of kids who are three to 400 kids every year diagnosed in the US with DIPG with absolutely no possibility for survival. They get radiation to the arms and they then get a holiday from the decease of three to six months and fall ill again, and it kills them. There's a 10% two-year survival rate and 0% five-year. I mean, there's nothing for these out there. And we have an ongoing study now that touch our patients and treated patients for bit more than five years now. And we have patients that are in more than five years survival. We have 9% for more than three years. And we are planning to start a multicenter study DIPG this year.
Boris Peaker: So how long would you have all of that?
Claus Moller: Well, that's a good question. I mean, there's absolutely nothing for these patients out there and we already had cases – I will do my utmost to get a supplementary BLA for the FET and to the FDA as quickly as possible. There's no doubt the FDA would like to see a multicenter study. But I don't think I need to follow the notice invitation for more than a year. So towards the end of next year, we could probably be ready. But that's very aggressive guessing from my side. But I'm also always very optimistic in that we can do to help these patients. I want to do – that's also why we're sitting here now, less than five years after we started deciding to filing to BLA. There's so much need for these treatments for these kids. But we're just going to make a significant effort if we can and the team to get the FDA to accept the data and FET based on what have in MSK and a multicenter study. Then we can get post marketing commitments to doing other things, but there's no alternative all these kids, every single one will die. And they are dying today in their disease. We need to get something that can help them.
Boris Peaker: Great, thank you very much for the lengthy answer to my questions.
Claus Moller: Thank you, Boris.
Operator: There are no further questions at this time. I would like to turn the floor back over to Thomas Gad, for closing comments.
Thomas Gad: Well, thank you, everyone for listening today on this particular day. And as you've just heard, Y-mAbs is in a great position for 2020 and we're moving forward with excitement. So hope you have a great evening and thank you. Thank you, Claus. Thank you, Bo.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.